Operator: Good day, everyone, and welcome to the Leatt Corporation Third Quarter 2025 Results Conference Call. [Operator Instructions] Please note this call is being recorded, and I will be standing by should you need any assistance. It is now my pleasure to turn the conference over to Michael Mason. Please go ahead.
Michael Mason: Thanks, Nikki. Good morning, and welcome to the Leatt Corporation investor conference call to discuss the financial results for the third quarter 2025. The company issued a press release today, Thursday, November 6, 2025, at 8:00 a.m. Eastern and filed its report with the SEC. The press release is posted on Leatt's website at leatt-corp.com. This call is being broadcast live and may be accessed on the company's website. An audio replay of this call will be available for 7 days and may be accessed from North America by calling (844) 512-2921 or (412) 317-6671 for international callers. The replay pin number is 11160350. A replay of the webcast will be available immediately following this call and will continue for 7 days. Certain statements in this conference call may constitute forward-looking statements. Actual results could differ materially from those discussed in this call. Leatt Corporation does not undertake any obligation to update such statements made in this call. Please refer to the complete cautionary statement regarding forward-looking statements in today's press release dated November 6, 2025. The company will make a presentation on the quarterly results and then open the call to questions. I would now like to turn the call over to Mr. Sean MacDonald, CEO of Leatt Corporation. Good afternoon to you in Cape Town, Sean.
Sean MacDonald: Good morning, and thank you, Mike, and thank you all for joining us today. The third quarter of 2025 was a solid quarter on a global basis. We achieved double-digit revenue growth for the fourth consecutive quarter and double-digit profitability. It was the fifth consecutive quarter of year-over-year growth following the post-COVID industry-wide revenue contraction and inventory overhang. Revenues for the quarter were $14.34 million, an 18% increase over last year's third quarter. Net income was $539,000, a 366% increase. International distributor sales increased by 17% as demand for our products and market conditions continue to improve. All of our product categories and our core head-to-toe markets, MOTO, MTB and ADV grew by double digits on a year-to-date basis compared to last year, which is especially encouraging. Our recent expansion into the ADV market with a range of products designed for off-road adventure riding has been exceptional, and we believe ADV is a growing and exciting market that represents an important growth opportunity for us. Gross profit as a percentage of sales continued to improve from 43% to 44% when compared to last year's third quarter as domestic trading conditions continue to improve despite some tariff uncertainty. Our U.S. MOTO and MTB sales teams are gaining momentum at the dealer level, and our supply chain team is managing shipping costs and logistics costs efficiently. We continue to build and refine the multichannel selling organization and consumer-facing brands and have added some promising new team members like our new Head of Brand, Marketing and Creative, Nick Larsen, who has a proven track record of building and driving iconic global brands. Continuing to build out a great team is a cornerstone of our future growth plans, and we are excited to have Nick as a key member of our team. For the first 9 months of 2025, our revenues increased by $13 million or 40% to $45.89 million. Net income for the 9 months increased by $4.56 million or 259% to $2.8 million. Cash flows generated from operations was $1.45 million as our liquidity continues to improve. All of our product category revenues have grown by double digits on a year-to-date basis. Body armor has grown by 30%, helmets by 60% other products, parts and accessories, including apparel, goggles and components by 49% and neck braces by 18%. We are confident that consumer direct sales will continue to be a highlight in terms of growth as brand momentum continues and consumer demand remains strong. For the third quarter of 2025, consumer direct sales increased by 61%. And over the first 9 months of 2025, sales increased by 37%. Our digital team continues to focus on building innovative digital platforms and consumer engagement strategies. Now I will turn to more details on sales of our product categories for the third quarter of 2025 compared to 2024. Sales of our flagship neck brace were $860,000, a 14% increase, primarily attributable to a 39% increase in the volume of neck braces sold when compared to the third quarter of 2024. Neck braces represented 6% of our total revenues for the quarter. Our body armor products are comprised of chest protectors, full upper body protectors, back protectors, knee braces, knee and elbow guards, off-road motorcycle boots and mountain biking shoes. Body armor revenues were $6.1 million, a 6% increase, primarily attributable to a 46% increase in revenues from the sales of footwear, including motorcycle boots and mountain biking shoes. Body armor sales represented 43% of our revenues for the quarter. Helmet sales were $3.33 million, an 11% increase, primarily attributable to strong ADV helmet sales. Our ADV helmets are designed for off-road adventure riding. Helmet sales represented 23% of our revenues for the third quarter. Our other products, parts and accessories category is comprised of goggles, hydration bags and apparel items, including jerseys, pants, shorts and jackets. Revenues were $4 million, a 53% increase, primarily attributable to a 49% increase in sales of MTB, ADV and motor apparel when compared to the third quarter of 2024. Other products, parts and accessories accounted for 28% of our revenues for the quarter. Now I will turn to our financial results in a bit more detail. Total revenues for the third quarter of 2025 were $14.34 million, up by 18% compared to $12.14 million for the third quarter of 2024. This increase in worldwide revenues is primarily attributable to a $360,000 increase in body armor sales, a $320,000 increase in helmet sales, a $1.41 million increase in other products, parts and accessory sales and $110,000 increase in neck brace sales. Income from operations for the third quarter was $630,000, up by 2,333% compared to $20,000 for the third quarter of 2024. Net income for the third quarter was $539,000 or $0.09 per basic and $0.08 per diluted share, up by 366% as compared to net income of $116,000 or $0.02 per basic and $0.02 per diluted share for the third quarter of 2024. Leatt continued to meet its working capital needs from cash on hand and internally generated cash flows from operations. And at September 30, 2025, the company had cash, cash equivalents and restricted cash of $12.39 million and a current ratio of 5:1. Looking forward, we remain very enthusiastic about our future. Although there are still some challenging geopolitical conditions globally and economic risks in the U.S. that may potentially impact inflation and demand, inventory continues to be digested. Our domestic sales are gaining strong traction. Participation remains strong and international ordering patterns continue to improve and deliver strong revenue growth. The consistent growth in all of our product categories is being driven by strong demand for Leatt products around the world. We expect this trend to continue. In conclusion, while we monitor the international trade situation, we are continuing to invest in Leatt as a global consumer-facing brand and to build out a strong and diversified global multichannel sales organization. All of us at Leatt's are energized by the growth of our product categories and our pipeline of cutting-edge products and categories for a much wider rider community. With a strong portfolio of innovative products in the market and in the pipeline, a return to profitability and a robust balance sheet to fuel brand and revenue growth, we remain confident that we are very well positioned for future growth and profitability. As always, I'd like to thank our entire Leatt family, our dedicated employees, business partners and team riders for their continued strong support. With that, I'd like to turn the call over for any questions. Operator?
Operator: [Operator Instructions] We'll take our first question from Nick Fisher with Pilot Capital.
Nick Fisher: First of all, just wanted to get some color on the plan for stock buybacks, what your framework is, et cetera. I see that you were able to purchase some shares here in the quarter.
Sean MacDonald: Yes, correct. So we did manage to purchase some shares in the quarter. And I believe that will be open until the end of December. And we're going to continue, obviously, through our plan with the broker to try and buy back some shares within a range.
Nick Fisher: Got you. Okay. I appreciate that. Obviously, marketing and sales has been a focus here. I was a little bit surprised to see advertising and marketing decrease in the quarter. Could you just talk a little bit about future plans and investments from that perspective, if you're able to?
Sean MacDonald: No, absolutely. So I mean, marketing, sure, was down. A lot of that is primarily just for timing reasons and some cost efficiencies that we've had on the marketing side with video production and photographic production. Having brought Nick Larsen on board, he's a very focused and experienced marketing professional. And I'm expecting to get really great return on investment on all of our marketing activities moving forward. Things are going to be a lot more focused, a lot more driven in terms of creating more consumer demand, creating more brand awareness to a much wider rider audience. So you can expect a strong drive to add fuel to the marketing fire and to the brand fire to generate demand for Leatt products moving forward.
Nick Fisher: I see. Got you. And then my last question is with regards to impact of inflation and tariffs and things like that. Are you able to comment on plans for price increases and the like?
Sean MacDonald: Sure. So we have increased pricing marginally across the board, 8% to 10%, which is very much in line with industry norms at the moment. We've been following the competitive landscape very, very carefully. So we've managed to increase pricing without having too much of an impact on sales and inventory holdings at the dealer level. I think it's obviously expected that pricing will go up. I think from a general inflationary perspective, I think quite a lot of inflation has still been -- is still to filter through into the market. Just generally, I think a lot of consumers have been shielded by -- basically by companies up until now. So we are expecting to see inflation potentially increasing in the short to medium term. We don't expect it to have a huge impact on our margins or on our profitability or on our demand. I think if the tariffs remain relatively stable moving forward, I think we'll be in a strong position to have strong margins and also to retain strong demand. So I think hopefully, the impact of tariffs so far has been -- we're over the worst of it. And moving forward, things will continue to improve.
Operator: We will move next with Christopher Muller, private investor.
Christopher Muller: Just a few questions, if I may. First, with regards to the international distributor revenues, I believe you historically had some seasonality there with a stronger back half of the year, Q3 and Q4 benefiting from the initial stocking of next year's line. Looking at the modest sequential decline today in Q3, I'm trying to understand whether those orders were pushed more into Q4 this year or if those distributor order cycles have changed or whether that past seasonality is even applicable to the business today?
Sean MacDonald: Yes. I mean I think you can expect a strong Q4 international distributor deliveries. A little bit of a timing impact there. I think some of the seasonality has moved slightly into Q4. I certainly am expecting, as I said, a strong distributor revenues in Q4, and that should all, of course, even out over the year. So when you look at the whole year, international distribution is going to be a strong part of the business as our distributors continue to restock with demand increasing.
Christopher Muller: Okay. Very good. And then second, regarding the MTB components line, how is that performing relative to your expectations at last year's launch?
Sean MacDonald: Yes, we're continuing to push there. I think exceeded our expectations in terms of the initial push. And we're busy right now refining a lot of those products and a lot of the supply chain around those products, which I think is going to help us to be able to meet the demand that is out there. So I think performing well, expecting further growth in the future as we continue to improve efficiencies around that product line.
Christopher Muller: Okay. Very good. Regarding the share repurchase, could you maybe speak to the Board's decision-making that led to the $750,000 size? Was this dictated by market factors like the limited trading volume and float? Or was this just purely the Board's assessment of excess cash after your operational needs?
Sean MacDonald: Yes. I think obviously, we had some -- we do have cash on our balance sheet, and I think there's no better investment in Leatt. We do believe that there's still a lot of value potential in the stock price. We just felt that this would be a great investment actually for the company at the moment, considering some of the plans that we have in the pipeline moving forward. So the decision was taken to give some of that cash for those shareholders out there that would like some kind of an exit with the limited liquidity and it really just made sense in terms of the optics right now for us to reinvest back into Leatt and into the shareholders. So that's really why we took the decision. We felt that it was a good valuation opportunity right now.
Christopher Muller: Okay. Understood. And then finally for me, it seems like there's quite a wide range of outlooks and forecasts being issued by bicycle brands this year and really across the outdoor recreation space. You've been in a strong financial position to reinvest in recent years when others have been pulling back. So I'm just wondering, today, when you're thinking about product expansion, marketing spend, pricing discipline, how does the competitive environment feel today relative to recent years?
Sean MacDonald: Yes. I mean I think on the bicycle side, it's -- I mean, I think it's still tough for many bicycle brands. But I do feel that there's a huge amount of opportunity. So we are continuing to invest in product development, in research and development for new exciting products and absolutely in marketing. I think there's a huge amount of potential for you to reach a much wider group. We still have market share in many, many categories that are still in its infancy and we are doing solid numbers. So my reading is that participation is still strong across the board in terms of riding. And I think that's really what we are focusing on. We do believe that, I mean, riding is the future and off-road riding, which is where our focus is, has been very strong for us, continues to be strong. MTB is recovering quite nicely. MOTO is our most established category and market, and that's also growing on a year-to-date basis. So that's great to see. And of course, ADV has been fantastic. We're quite diversified now, of course, with these 3 different markets, different demographics that we're selling to. And I think that diversification is a strength. And of course, with NCD coming back, I think that's going to really have a positive impact on our results moving forward, Chris.
Operator: We will move next with Aaron Gelband with Warren Street Capital.
Aaron Gelband: I had one question on the direct business. So big -- last quarter was pretty good with 35% year-on-year growth, and then we accelerated to 60% year-on-year growth. You talked a little bit about digital marketing initiatives. But can you just give a little more color on what's going on to drive that big acceleration? Is it sustainable? Is it concentrated in any specific products? Or is it just a result of the digital marketing campaign? Any color on that would be very helpful.
Sean MacDonald: Sure. I mean there's a couple of reasons. I mean, particularly in Q3, we actually launched a new web platform. We're using a new platform now, which has got a lot of capabilities in terms of consumer engagement and creating brand awareness across the Internet, and that's been pretty strong for us. And also, I think a lot of this is about focus, Aaron. We have a new digital department that we set up at the beginning of the year, and they are driven by consumer direct business. And that means this is targeted marketing. It's very specialized. There's a blend between, of course, reaching end consumers with targeted online campaigns and e-mail campaigns. And also, of course, the website is also the home of the brand. So there's fantastic content on there now. So I think it's really about focus. The new digital team is doing really, really well, exceeding our expectations in terms of growth. I think moving forward, direct-to-consumer business is going to be a more important area of our business just in terms of growth and also just in terms of contribution to overall revenues. And I think I'm talking primarily in the U.S. and in South Africa, where we have direct online channels. And I think it's -- as I said, of course, there's the selling opportunity, but there's also the marketing opportunity. I think it creates a lot of brand equity when you can actually target consumers. And it's been exciting to see how the demand has continued to surge online. It's really exciting to be able to see the return on investment when you do, do marketing campaigns that are targeted and to see that filtering through to your revenue. So we've got some specialist skills on board, and we pulled that all together now into a strong digital team that's very focused on the direct-to-consumer business. Of course, it's not only about the website. It's also about having customer service in the back end that can satisfy the needs of consumers when you are used to being a distribution business and traditionally, we've been in distribution and selling, of course, to dealers who might have been online or brick-and-mortar. In order to move over to the consumer space, especially with consumers these days that have got very high expectations in terms of service levels, we've had to invest in customer service, and we have a full customer service department now in the U.S. and also in South Africa to take care of consumers' direct needs. So it's a growing area. It's a focus area for us. We've been putting a lot of energy into it, and it's great to see the increase in demand. And we do expect this to be an important area for us going forward where we are expecting double-digit growth.
Aaron Gelband: I'd also assume that the gross margins are higher on that. If this becomes a much meaningful piece of the business, would you expect that to have a positive impact on the company gross margins?
Sean MacDonald: Absolutely. When you're selling direct, your margins are better. There are costs involved, obviously, in terms of the marketing. And there's a blend in terms of the margins because you're selling full price items, but when you have Black Friday and those kinds of events, of course, it's also an opportunity to turn some of your inventory into cash if it's maybe a little bit slower moving. We don't have a lot of that. But if it is a bit slower moving, it's an opportunity because you have margin available. So for sure, it should have a positive impact on margins moving forward.
Aaron Gelband: Got it. And then one more question on -- so overall performance of the company, 18% growth, I think we'd be happy with that if that continues for sure. But there was a big kind of deceleration, especially in international, which had grown 79%, 74%, and then it dropped off to 17%. And so I think -- and you've been very positive on your comments for international ordering patterns, both last quarter and this quarter. And so maybe just to parse your language a little bit. I mean, when you talk about good international ordering patterns, are you just talking in an absolute sense? I mean, a big deceleration from 74% to 17% would -- it seems inconsistent with kind of saying that the ordering pattern is continuing to improve. But maybe you can just give some color on that. And maybe that just ties into Chris' question about kind of the timing of shipments.
Sean MacDonald: Yes, sure. I mean I think when I talk about ordering patterns continuing to improve, I'm talking about like on an annual basis. I'm not talking about a 3-month period of a particular quarter. So when I look at the ordering patterns in general, there's a real strong improvement. So if you look at it on a year-to-date basis, and we've had fantastic growth in terms of ordering patterns, and I do expect that to continue. A little bit of it is timing, as I said. I don't think that our current ordering patterns at 17% is really a reflection of where we're at on the international side. And I think it will be good to also discuss this maybe when we get to the end of Q4 and then we can look back on the year and we can make a real solid assessment because that will take into account all of the seasonality and all of the shipping timing differences. We'll be able to see how the international distribution business has grown on a year-to-date basis at 31 December.
Aaron Gelband: Got it. That's helpful. And just to be clear in your response, you said the ordering pattern was up 17%, but you meant that the shipping.
Sean MacDonald: Shipping, sorry. The shipping, correct. I meant -- yes, correct. I meant the shipping, correct. So the shipping, which is obviously driven by the orders that we got actually probably a few quarters ago. So absolutely, it's the shipping.
Operator: And this concludes our Q&A session. I will now turn the call over to Sean MacDonald for closing remarks.
Sean MacDonald: Thank you all for joining us today. We look forward to our next call to review the results of the 2025 fourth quarter.
Operator: Thank you. And this does conclude today's program. Thank you for your participation. You may disconnect at any time.